Operator: Good afternoon. My name is Beverly, and I will be your conference operator today. At this time, I would like to welcome everyone to the Public Storage Second Quarter 2011 Earnings Conference Call. [Operator Instructions] Clem Teng, you may begin your conference.
Clemente Teng: Good morning, and thank you for joining us for our second quarter earnings call. Here with me today are Ron Havner, CEO; and John Reyes, CFO. We'll follow the usual format followed by a question-and-answer period. However, to allow for equal participation, we request that you ask only one question when your turn comes up, and then return to the queue for any follow-up questions. Before we start, I want to remind you that all statements other than statements of historical facts included in this conference call are forward-looking statements. These forward-looking statements are subject to a number of risk and uncertainty that can cause actual results to differ materially from those projected in these statements. These risks and other factors that could adversely affect our business and future results are described in today's earnings press release, as well as in our reports filed with the Securities and Exchange Commission. All forward-looking statements speak only as of today, August 5, 2011, and we assume no obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. A reconciliation to GAAP of the non-GAAP financial measures we are providing on this call is included in our earnings press release. You can find our press release, SEC reports and the audio webcast replay of this conference call on our website at www.publicstorage.com. I'll turn the call over to John Reyes.
John Reyes: Thank you, Clem. As outlined in our press release, our second quarter core FFO per share was $1.43 compared to $1.27 last year, a 13% increase. Three items primarily drove this growth. First, our same-store net operating income increased by 6.2% or approximately $15 million, representing $0.09 per share. Second, our investment in Shurgard Europe added $0.05 per share, primarily from the acquisition of an 80% interest in 2 joint ventures, along with the 13% higher euro-to-dollar currency exchange rate. Third, our nonsame-store properties added another $0.03 per share. These items were partially offset by higher G&A costs of about $0.02 per share. Our same-store net operating income benefited from higher revenues of 4%, along with flat operating expenses. Higher property taxes and property payroll expenses were offset by lower advertising, primarily due to lower television cost. Our G&A expense for the quarter was $2.5 million higher than last year. This is primarily due to an additional $3 million for an intensive plan that is based upon 2011 same-store revenue growth. We expect this plan will add $13 million to our 2011 G&A expense compared to 2010. We recently completed several capital transactions. During the second quarter, we issued $375 million of 6.5% preferred stock, and we redeemed $518 million of 7.25% preferred stock. After the quarter, we issued $488 million of 6.35% preferred stock and called for redemption $425 million of 7.25% preferred stock. In the third quarter, there will be an associated EITF D-42 charge of approximately $13 million or $0.08 per share. As a result of these transactions, our quarterly preferred dividend will be about $1 million lower in the third quarter and $3 million lower in the fourth quarter as compared to the same periods last year. As previously announced, Shurgard Europe acquired in early March the remaining 8% interest in 2 joint ventures that own 72 properties for $238 million. The transaction was initially funded as a dollar-denominated loan by Public Storage. In mid-June, our partner in Shurgard Europe funded its proportionate share of the investment. Although the loan bore interest at 7%, it effectively was a participating loan. Accordingly, from early March until mid-June, we received 100% of the income from the 80% interest in the 2 joint ventures. After mid-June, we began receiving our 49% share from the joint ventures. Our second quarter earnings were about $3 million higher than they otherwise would have been due to this brief period where we received 100% of the income. Also in the quarter, we agreed to purchase through mergers, the remaining partnership interest in 5 Public Storage-sponsored partnerships for $154 million. These partnerships own 47 properties with 2.7 million square feet. The transaction, which is subject to conditions, is expected to close in the third quarter. With that, I will now turn it over to Ron.
Ronald Havner: Thank you, John. We had a good quarter benefiting from higher occupancy and better pricing. We added 31,000 net customers due to higher move-ins, offset in part by higher move-outs. We ended Q2 with record same-store occupancy of 93.1% and maintained a healthy year-over-year spread of 1.5% despite a 50% reduction in media spend. Street rates were also higher. Same-store revenue per available foot grew by 4% compared to 3% in Q1. At the end of July, occupancy and asking rents were also higher than the same period last year. All of our top U.S. markets achieved positive revenue growth in Q2. In addition, despite lower media spend, all but one had greater move-ins. Los Angeles, our largest market, grew revenues by 1.5% compared to 0.6% in Q1. Move-ins grew by 1.2% despite a 58% reduction in media spend. San Francisco, our second-largest market, increased revenues by 3.6%, up from 3% in Q1. Move-ins were up 2.1% despite a 56% decline in media spend. The Southeast markets, Florida and Georgia, grew by 4%, up from 3.4% in Q1. Move-ins were flat to last year while our media spend was down 42%. The Pacific Northwest markets, primarily Seattle and Portland, grew by 3.5% revenue, up from 2.4% in Q1. Move-ins were up by 3.8% while our media spend was flat. The Northeast markets, Boston, New York, D.C. and Philadelphia, grew revenues by 5.9%, down from 6% in Q1. Move-ins also declined by 3.2%. Media spend was declined by 23%. Our top-performing market was Detroit at 6.3% revenue growth. Our third quarter media spend is expected to be about the same as last year. Moving to our European operations, our same stores had top line growth of 1%, resulting from higher realized rents and higher occupancy. We ended Q2 with positive occupancy spread of 0.4%, up from a negative 0.2% at the end of Q1. We expect modest revenue growth for the balance of the year. Operating expenses were 4% higher, primarily from higher advertising and property taxes, resulting in negative NOI growth of 1.5%. With respect to acquisitions, we acquired another 3 properties for $40 million with about 300,000 net rentable square feet. In summary, our trends remain solid. Occupancies are higher. Asking rents are higher. Our cost of preferred securities are lower. Our leverage is lower. We feel pretty good about delivering double-digit growth with debt and preferred at 16% of capitalization and in excess of 4.5x fixed charge coverage. With that, operator, let's open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Eric Wolfe with Citigroup.
Eric Wolfe - Citigroup Inc: Your peers have done about 3 quarters of $1 billion deals this year, and I assume as the largest storage REIT that you've taken a look at pretty much everything. And just given your size, platform and cost of capital, I would also assume that you would have the most synergies from operating these assets. So what is it about the deals they've done that you haven't liked? Or is it just that they've been willing to pay more for it?
Ronald Havner: Eric, this is Ron. I'd say there's 2 points to both things: quality and price.
Eric Wolfe - Citigroup Inc: So the quality's not high enough and the price was too high?
Ronald Havner: Yes.
Eric Wolfe - Citigroup Inc: Okay. And I guess where did those the deals shake out versus where you would have liked them to? I mean is it that you were off by a little bit or by a lot?
Ronald Havner: Well, a couple of them, we weren't even -- actually, several of them, we weren't even interested in. And then a couple more, the pricing was just -- did not make sense to us.
Eric Wolfe - Citigroup Inc: Okay. And then just a second question is I guess, given where financing costs are and given what you think is going to happen in terms of NOI growth for the next couple of years, what sort of valuations do make sense right now and what would make you -- where are you a buyer?
Ronald Havner: Well, Eric, as we've mentioned on a couple other calls, it really depends on where the property's located, whether it's stabilized, not stabilized, a whole variety of things. So I can't -- there's kind of like no one answer to that question.
Operator: The next question comes from the line of Ki Bin Kim with Macquarie.
Ki Kim - Macquarie Research: So what was the cause of the media spend being down so much or the reason why you chose to do that?
John Reyes: Because of our occupancy levels were so high, Ki, we were able to scale back television advertising costs quite a bit. That's really the main reason.
Ki Kim - Macquarie Research: And so from a, just a year-over-year comp standpoint, is that something you want? That trend, is that going to stick around for the next couple of quarters?
John Reyes: Well, as Ron mentioned, we think that our television advertising costs over the next -- for the remainder of the year will be about flat compared to last year.
Ki Kim - Macquarie Research: Okay. And just a second part. If you had to split [ph] the rental revenue, the same-store revenue growth between rental rate increases versus new customers, how would that look like?
John Reyes: Rental rate increases, most of it is from the increases to existing tenants, Ki, combined with higher occupancy. The new tenants that are coming in are coming in flattish to down compared to last year because our market rates are pretty flat.
Operator: The next question comes from the line of Swaroop Yalla with Morgan Stanley.
Swaroop Yalla - Morgan Stanley: I like to know what are the renewals, what percentages of renewals you're sending out right now for August, September. But also if you can tell us that in dollar terms, what are the average dollar amount being sent out and maybe by market?
John Reyes: I'm sorry, that's a pretty difficult question for a conference call by market. Let me just tell you broadly what we're doing. Let me tell you what we did during the first half. The first half of the year, we sent out about 3.2% less renewal than we did last year during the first half. The renewals that we did send out during the first half of this year averaged about 8.5% compared to last year, which was about 5.3%. During the second half of last year, we sent out -- what we're scheduling to send out this year versus last year. We're scheduled to send out about 25% more letters in the second half or increases, I should say, than we did last year. The projected increases this year will be about 9.1% versus 6.7% last year. The bulk of the increases that we will be sending out this year have already happened. They happened effective July 1. Whereas last year, it was spread throughout from July into September. Not quite evenly, we sent out the bulk of them though on July 1 of last year, but we did have a good chunk that went out in August, as well as September. This year, we will have no increases in August or September.
Swaroop Yalla - Morgan Stanley: Sure. So what does that translate into in terms of average dollars increase in terms of the increases?
Ronald Havner: Well, you could take a 25% volume variance plus about a 40% rate variance on about 25% of the customer base and work out the math that way.
Swaroop Yalla - Morgan Stanley: Oh, okay. I was thinking more in the terms of monthly rental increases, monthly dollar increase on average per customer.
John Reyes: We don't have that information available to us right now.
Operator: The next question comes from the line of Christy McElroy with UBS.
Christy McElroy - UBS Investment Bank: You've obviously seen some success raising occupancy despite cutting back on media spend. There's been some talk among your peers about cutting back in concessions. One that did so pretty meaningfully through the second quarter actually saw negative resulting impacts on occupancy. So I'm wondering if you've cut back at all in concessions. And then just to sort of ask the rent question a little bit differently, if there's any way that you could dissect, if you look at the 2.2% growth in your realized rent per occupied square foot, I know a lot of it was the in-place rent hikes, but I'm just wondering if any of that had to do with maybe some burn-off of concessions that may have contributed to the upside in that number or higher asking rents. What were your asking rents year-over-year?
John Reyes: Yes, Christy, our concessions -- we gave out about the same dollar amount of concessions as we did last year. So there was no benefit or detriment from concessions on that. We kept discounting throughout the period. Notwithstanding the fact that we had higher occupancy, we kept the concessions going because for 2 reasons: one, we knew we were cutting back on television; and then the second reason is because we were sending out more aggressive rate increases to our tenants. We wanted to be able to back fill any vacancies that may have caused move-out started accelerating. In terms of the rental rates that are charged to new incoming tenants versus last year, it's about flat, Christy, and our move-ins are up, as Ron indicated, somewhat compared to last year. I should say we're not getting a big lift in our revenue growth from new move-ins.
Christy McElroy - UBS Investment Bank: Okay. So if I just look at the rent per occupied square foot, that was, I mean, attributed almost entirely to the increase in in-place customers then?
John Reyes: Correct.
Operator: Your next question comes from the line of Jay Habermann with Goldman Sachs.
Jonathan Habermann - Goldman Sachs Group Inc.: Ron, could you talk a bit about what you're seeing out of the banks and their willingness to sell product to you? And I guess also, could you provide some more details on the limited partnerships you're acquiring and what sort of returns you expect upon closing?
Ronald Havner: Well, I've got David Doll here, so I'll let him talk about the banks. With respect to the partnerships, there's a pretty extensive public filing already that we did with the SEC, and we're in the solicitation period. So in that filing, you can kind of figure out what the yields and price per foot are and all that for the partnerships. With respect to the banks, I'll let Dave answer here.
David Doll: Jay, from the bank standpoint, we're beginning to see an uptick in their resolution of existing debt with borrowers. Most of those are one-off transactions, so they're not large portfolios coming out of that weaning of their balance sheets. But there has been an uptick of activity from the bank standpoint.
Jonathan Habermann - Goldman Sachs Group Inc.: Any particular regions or parts of the country where you're seeing that show up more so than others?
David Doll: We're seeing more on the East Coast these days than we are on the West Coast.
Operator: The next question comes from the line of Todd Thomas with KeyBanc Capital Markets.
Todd Thomas - KeyBanc Capital Markets Inc.: Just first, a quick follow-up on a comment that you just said in response to another question, that you're not sending out increased letters in September or October this year. I was wondering if that's just change in strategy somewhat because of weaker economic data in recent weeks or was that planned?
John Reyes: No, that was planned, Todd. No, we accelerated the timing in which we use it -- we really don't do a whole lot during that timeframe traditionally, and we felt this year rather than do them then, we decided to accelerate them and basically, get all the letters or the increases out earlier this year.
Ronald Havner: Todd, we have to give the customers 30-days' notice. So the process of deciding what date and who is actually done really in May because the letters go out in June, effective July 1.
Todd Thomas - KeyBanc Capital Markets Inc.: Okay. And then, Ron, I was just wondering, a couple of other management teams this quarter made the statement that the discretionary renter is no longer around, that the renter base is comprised of mostly needs-based renters, unlike in front of the last recession a couple years back. Do you agree with that as you think about your portfolio and the industry today?
Ronald Havner: I don't know that the customer has changed, and to be honest, I don't know how they know. If you look across our portfolio, I cited move-in volumes across various markets from Los Angeles to San Francisco to Florida to Seattle. Move-in volumes were up across the platform despite lower media spend other than the Northeast. The Northeast has been strong for the past year, 1.5 years. But the rate of growth is slowing in the Northeast. Still great, absolute revenue growth, 5.9%, but it's slowing. We're able to drop media spend and still have higher move-ins. So I would say that fundamentally, that would indicate to me the customer base has not changed really at all.
Operator: Your next question comes from the line of Jeff Spector with Bank of America Merrill Lynch.
Jeffrey Spector - BofA Merrill Lynch: If we can talk a little bit about the housing market and it seems that trends continue to weaken there, the customer you're seeing coming into your portfolio, are those customers that have been foreclosed on, forced out of their homes or those are folks that have sold in the downturn and now are renting?
Ronald Havner: Jeff, over the last couple of years, we have seen more people come into our space as a result of foreclosures, and probably less people come into our space as a result of move-in because there's less move-in velocity in the economy. But as I just answered the other question, which I think Todd asked, if you look across the platform, we're seeing higher move-in volumes across the entire United States, even in Las Vegas. The only place where we're not seeing is really in the Northeast. So all indications from our perspective and we're at record high occupancies, is that the customer base is essentially the same. And it's people moving from changes in life circumstances.
Jonathan Habermann - Goldman Sachs Group Inc.: So basically, if we continue to see home prices decline here, there's really nothing to read into it that you may start to see less demand in your portfolio for self storage?
Ronald Havner: If the last set of stats that I saw in home prices, I think Detroit was, if it wasn't the worst, it was near the top 3 in terms of declines in home prices, and we had record revenues in Detroit this quarter at 6.3%. Detroit finished the quarter, I want to say, at about 96%, 96.5% occupancy.
Operator: The next question comes from the line of Gautam Garg with Crédit Suisse.
Gautam Garg: Purely from a same-store NOI perspective, I think last quarter, Illinois was the weakest. It had a 2.4% decline and Texas was about a 7% increase. Has that trend changed, and what are your expectations for the difference of markets over the next 12 to 15 months?
John Reyes: Well, the Chicago market, on an NOI basis, is they're one of our weaker in terms of the big markets. Part of the problem is not on the revenue side. It's on the expense side due to some property taxes as well as one of the big things with snow removal costs this year versus last year. But that will obviously go away, and it should get back to positive trends going into the third and fourth quarter. Texas has been strong and it still remains very strong, particularly Dallas. Dallas, Austin, San Antonio have been very good. Houston's probably the most weakest of the Texas market, but nonetheless, it's positive trending.
Ronald Havner: Let me try to give you a little more color on that as well to what John said. If you kind of look at our top 5 or 6 markets in terms of revenue growth quarter-over-quarter, it's Detroit at 6.3%, Dallas at 6.2%, New York at 5.9%, Northern Virginia, D.C. at 5.7%, Philly at 5.4% and Minneapolis at 5.3%. At the bottom here is L.A. at 1.5% and Sacramento at 2.4% and San Francisco's in there at 3.6%. But if you look at the sequential rate of change in the revenue growth, at the top of the group, you're going to find Portland at 2.1%, Orlando at 1.8%, Minneapolis at 1.6%, Tampa at 1.4% and then there's Los Angeles at 0.9% and San Francisco at 0.6%. And down there at the bottom, markets that are actually slowing down a little bit are D.C., down 0.6%; Philly, down 0.3% and New York, down 0.1%. So it's kind of touches on this growth. The growth is decelerating in the Northeast and picking up on the coast and the Southeast.
Operator: The next question comes from the line of Michael Knott with Green Street Advisors.
Michael Knott - Green Street Advisors, Inc.: Ron, just curious of your opinion on, if we do head into a recession here, do you think your currently strong trends will weaken somewhat? Or do you think it would be a nonevent as one of your peers seemed to suggest this morning?
Ronald Havner: Well, Michael, peers, I'm not sure we have any peers. But so far, we're record high occupancies, and we're seeing growth across the platform. So if there's deterioration in the business, we're not seeing it right now. Did I address your question?
Michael Knott - Green Street Advisors, Inc.: Yes. I guess I'm just curious to your thoughts on -- do you think Pub Storage is recession resistant or not? What would your sort of takeaway be from the last cycle as it might apply to if we do have a very slight dip in economic activity here?
Ronald Havner: I think those words are very appropriate, recession resistant. In particular, in our portfolio, the West Coast has lagged the rest of the portfolio in terms of growth. So we're kind of sitting here looking at okay, sometime next year, the West Coast markets will be picking up and leading in terms of growth. So I kind of look at our portfolio as we've got some momentum in the portfolio and some growth still to go because of our concentration here on the West Coast. But I think your term of recession resistant is very appropriate.
Michael Knott - Green Street Advisors, Inc.: And then just from a capital allocation standpoint, how do you think about long-term or even sort of intermediate-term rental growth in secondary markets as compared to coastal markets. It was suggested earlier this coming season, that maybe the secondary type markets really haven't trailed coastal high barrier peers all that much over a historical period and maybe the underwriting that causes the cap rate spreads to be 150 basis points or so is too wide and not right. What's your view on secondary markets versus coastal markets from a capital allocation standpoint?
Ronald Havner: Well, I'll be rather blunt, I will take Manhattan or Northern Virginia or Los Angeles over Cleveland or Cincinnati, Ohio any day.
Operator: Your next question comes from the line of Todd Stender with Wells Fargo Securities.
Todd Stender - Wells Fargo Securities, LLC: My question had to do with the completed conversion of the facility in L.A. Do you have any other opportunities for that and what kind of markets would you look at?
David Doll: That was an existing opportunity of a property that we owned here in Los Angeles, and we don't have many more of those opportunities in our portfolio. There might be 1 or 2 coming down the pipe in the next couple of years, but nothing further. It's a great site, along 2 major freeways in an area that we didn't have products. So it will fit well inside our portfolio.
Todd Thomas - KeyBanc Capital Markets Inc.: What submarket is that in? And do you know any of the occupancies within that market?
David Doll: It was in the Torrance market, along the 405 freeway, just north of the 110.
Ronald Havner: In that submarket, we're pretty fully occupied 90-plus percent.
Operator: Your next question comes from the line of Paula Poskon with Robert W. Baird.
Paula Poskon - Robert W. Baird & Co. Incorporated: Given that operating trends that you're seeing, particularly around occupancy, do you expect the seasonal decline in occupancy heading towards the winter to be somewhat more muted in the coming months? And if so, by how much?
John Reyes: I wish it would be muted. I don't expect it to be muted because there's nothing that I'm seeing in the trends that would suggest that. So I think it's going to be very comparable to what the seasonality has been, at least over the past couple of years.
Operator: Your next question comes from the line from Omotayo Okusanya with Jefferies & Co.
Omotayo Okusanya - Jefferies & Company, Inc.: Just wondered if we can get a sense of what you were seeing in regards to operating trends both in July and the early part of August.
Ronald Havner: Well, I think I gave you that we were higher occupancy at the end of July. I would say about 92.9% versus 91.6% and our asking rents were higher at the end of July than they were last year. And in terms of August, that will kind of be in our Q3 results.
Omotayo Okusanya - Jefferies & Company, Inc.: Okay, that's helpful. And then second question in regards to opportunities to do things internationally, I know some of the Hugh assets are in Canada, and there's always been talk about you possibly doing something additional in the U.K.
Ronald Havner: I'm sorry. I'm not sure what your question is.
Omotayo Okusanya - Jefferies & Company, Inc.: My question is how do you -- your thoughts on further international expansion just given some of the Hugh assets are in Canada. And in the past, there's always been talk about you doing something in regards with the public U.K. REIT.
Ronald Havner: Oh, well, we don't comment on mergers or acquisition, public company acquisitions on a conference call. And the Shurgard Europe, we own 49% of it. Our partner, New York Common Retirement Fund owns 51% of it. And so expansion plans over there, really, it's a joint decision. We have, in some sense, had a meaningful expansion there by taking out our joint venture partner, which was about $240 million earlier in the year. So you can look at that in one sense as expansion in Europe and both Public Storage and New York Common contributed to the funding of that acquisition. With respect to Canada, that's really -- the Hughs family owns that, and that's really their decision in terms of what they want to do with it.
Omotayo Okusanya - Jefferies & Company, Inc.: Okay. And then just the last question, I mean, when you kind of look at the market conditions right now, under what circumstances would you feel more comfortable trying to push your street rate?
John Reyes: Well, right now, we're not going to be pushing our street rates. We're going to be competitive. We believe right now, our rates are higher than where the market is right now. So there's no sense in us being aggressive, pushing rates right now. And I can't tell you why the market's not raising their rates. But we feel we don't need to be doing that right now. As we've mentioned before, our growth in our revenues is going to come from increasing the renewals to our existing tenant base, and we're still living by that strategy. And we'll continue that for the remainder of the year.
Ronald Havner: One other thing you should know, there's a -- or put in your mind is starting July, certainly, August, the balance of the year is kind of a net -- not kind of, it is a net outflow. So occupancies decline after July each month. So in terms of being aggressive on rental rates, we won't because we want to be able to back fill that space from customers moving out on a seasonal basis.
Operator: Your next question comes from the line of Michael Mueller with J.P. Morgan.
Michael Mueller - JP Morgan Chase & Co: First, Ron, can you just repeat what you were saying about the July occupancy levels, the July end occupancy levels? And then the question is I think you switched over the way you do your pricing recently to conform more to how you do in the U.S. And I was just wondering what you could tell us about how that's progressing.
Ronald Havner: Yes, the July occupancies I quoted were 92.9% versus 91.6%. And with respect to Europe and the pricing, that's just gotten underway. So it's too early to say kind of what will be happening or the impact of that in terms of our having greater participation in the price in Europe versus not. So it's too early to tell.
Operator: Your next question comes from the line of Smedes Rose with KBW.
Smedes Rose - Keefe, Bruyette, & Woods, Inc.: I just wanted to ask you on the partnerships you're buying out, are there more of those that you could buy out over time? And then just in terms of the effect on your income statement, is that basically eliminates most of that minority interest or other noncontrolling interest and subsidiaries as these are consolidated?
Ronald Havner: Yes, on the second question, the accounting, you're correct. It's minority interest. On the first question, how much, this represents about half of all of our minority interest excluding Shurgard Europe.
Smedes Rose - Keefe, Bruyette, & Woods, Inc.: Okay. And I mean was there a reason for the timing of why buying these out now or -- I just wanting more color I guess on it, because these are old established partnerships or limited partnerships.
Ronald Havner: Yes, they're about 30-plus years old. It seemed -- there were a variety of things that went into the decision. Again, there's a public document that you could kind of go through and read all about that.
Operator: The next question comes from the line of Ki Bin Kim with Macquarie.
Ki Kim - Macquarie Research: Just a quick follow-up. On your comment about decreasing street rates, I was wondering if you keep that or provide perspective on a year-over-year basis. Because we know that street rates go down because of the passive peak rental season, but from a year-over-year perspective, how would that look like going forward?
Ronald Havner: Well, Ki, the end of July, the street rates were higher than last year. Is that your question?
Ki Kim - Macquarie Research: Yes, along that, right.
Ronald Havner: Yes, at the end of July, they were higher. But as we move through August, September, October, we will be reducing them due to seasonality.
Ki Kim - Macquarie Research: But still higher year-over-year?
Ronald Havner: Well, I don't know what they're going to be in August, September, October, but at the end of July, they were higher.
Ki Kim - Macquarie Research: And are you strictly following the output from your pricing systems or are you keeping it little more subjective given kind of the negative macro in years you've seen [ph]?
John Reyes: I'm sorry. Your question, can -- again, can you please repeat that?
Ki Kim - Macquarie Research: Yes, sure. So I mean, you guys have pretty sophisticated pricing systems that look at occupancy levels and competing occupancy levels. Are you following the output from your pricing systems pretty closely or are you making some subjective pricing changes?
John Reyes: We're making a lot of subjective pricing changes.
Ki Kim - Macquarie Research: Okay. And last part, Shurgard Europe seems to have operations going to slow down a little bit this quarter. A lot of it on the expense front, so I guess if you could just provide a little more commentary on how -- if the elevated level of expenses are kind of here to stay, given maybe just higher level of taxes going forward, if you guys provide a little more color on that?
David Doll: Sure, Ki. Europe's P&L on the expense side, I think you hit on the 2 key items. Property taxes, there was a property tax refund last year during Q2. There wasn't a corresponding one this year. So that's why the P tax is up. And advertising was a little more front-end loaded into the year, at the front part of the year. And last year, I think advertising year-to-date is up, yes, 13%. So I'd expect some moderation in that growth for the balance of the year. If you kind of unbundle Europe and look at revenue growth by market, there's one particular market that has about, I don't know, 15%, 18% of the portfolio. That's Holland. And Holland's revenue in Q2 was down 5.4%. That contrasts with markets like Sweden, up 3.8%; France, up 2%. The U.K. was up 1.4% quarter-to-quarter. Belgium was up 3.5%. So overall, we're doing pretty darn good in Europe, but we've got, so to speak, one problem market and that's Holland.
Operator: Your next question comes from the line of Michael Salinsky with RBC Capital Markets.
Michael Salinsky - RBC Capital Markets, LLC: Can you just give us an update, is the expectation to get the repayment of the PSB loan in the third quarter or is there potential to extend that out a little further?
Ronald Havner: No. It's going to get repaid.
Operator: Your next question comes from the line of Todd Thomas with KeyBanc Capital Markets.
Todd Thomas - KeyBanc Capital Markets Inc.: Ron, just a quick follow-up on Europe. Thanks for the breakout on the different countries, but I was just wondering if you're hearing anything since the end of the quarter, just in the last couple weeks, whether some markets are sort of rolling over or if you're seeing a meaningful change in demand over the last month or so?
Ronald Havner: Well, sequentially, occupancies in Europe moved from 86.4% in June to 86.5% in July. Street rates are about comparable to last year. So we haven't seen any big degradation in demand here in Europe for the month of July.
Operator: Your next question comes from the line of Eric Wolfe with Citigroup.
Michael Bilerman - Citigroup Inc: Yes, Michael Bilerman. Ron, if you think about the transaction activity that's transpired in the U.S. over the last year and if you look at your portfolio of over 2,000 assets, I got to imagine there are some comparables within your portfolio to what's transacted.
Ronald Havner: I'm sorry, Michael, what's your question?
Michael Bilerman - Citigroup Inc: I'm just saying within your portfolio, there has to be assets that are in similar quality and location to the transactions that have taken place in the market over the last year. Would you agree with that statement?
John Reyes: We have properties in Cleveland and Cincinnati if that's kind of what you're asking.
Michael Bilerman - Citigroup Inc: Well, I was saying for all the deals that have transpired, like all the deals that you've passed on and that you've told us the beginning you passed on either due to price or quality or a mixture of both, your portfolio is quite large. I got to imagine that you have assets in those markets and assets of similar quality to what's transacted.
Ronald Havner: I'm not -- do you have a question, Michael?
Michael Bilerman - Citigroup Inc: I'm trying to lead you down somewhere. I'm just saying if you're not going to buy and if you think the prices are too high for what's being paid, would you sell any of those assets? Because I got to imagine, you have assets in some cases, down the street from the assets that sold.
Ronald Havner: Well, Michael, historically and best as I can tell, perspectively, we're not really sellers of assets because we're trying to continually build upon our platform. And so we're looking for assets that are additive and not only create value in their own right but additive to the platform. So we're generally not sellers of assets. I can't on a conference call, go through it portfolio by portfolio, but I'm relatively familiar with a lot of what's transacted. Our team here sees pretty much everything that goes down in the market, and I don't know what to add to what I already said in terms of there's a gap in price between what we think it's worth and what someone else is thinking it's worth. And there's a gap in terms of what we perceive to be quality assets versus what other people perceive to be quality of assets. I don't know what else to add to that.
Michael Bilerman - Citigroup Inc: Well I guess I'm trying to get a perspective of really what that gap is, right? Because if there's a certain amount of -- you are in a size, in a portfolio size where the portfolio drives significant value to the whole, to each individual piece, right? Because you don't want to take anything out of the portfolio even if you think it's of similar quality to what's transacted, and you don't want to take it out even though you could get it an attractive price because it's more valuable to be inside the whole portfolio than outside. Then, the gap's got to be so large to not take in one of these portfolios into the empire to drive growth even further and enlarge the pipeline, right?
Ronald Havner: Yes, Michael, like I said, I don't know what else to add other than what I already said.
Michael Bilerman - Citigroup Inc: Is there a number that you're willing to at least give up?
Ronald Havner: Michael, let's take the next guy's question.
Operator: Your next question comes from the line of David Harris with Gleacher & Company.
David Harris - Gleacher & Company, Inc.: Mine's quite simple after that one. Ron, I think I remember correctly. It's either the last conference call or the conference call before, you referenced to management issues in the Netherlands, and I think you just threw out some stats, which suggest things aren't getting much better. Is that issue resolved now?
Ronald Havner: Yes, David. We put in a new, what we call a market manager, which is kind of the equivalent of a regional manager here in the U.S. He's been in place about a year. We've upgraded a number of the district manager positions over the last year as well. So Holland is on its way to recovery. I think I got one more stat here I can share with you. In terms of -- I touched earlier with someone on the sequential revenue growth. While Holland was down 5.4% quarter-on-a-quarter, on a sequential basis, it actually improved 0.1%. So we're cautiously optimistic on Holland. And we've got some good people in place, and we just need to give them some time. But good assets and good people in place. So I think next year, Holland will be a positive story to talk about.
David Harris - Gleacher & Company, Inc.: Okay. You may shut me down with this question but with all the turmoil that's apparently going on in Europe and obviously, the banks are front and center, do you have any sense that the banks may be -- or the action with the banks may provide you with increased opportunities in Europe over the next period in time?
Ronald Havner: It may but keep in mind in Europe, self-storage market across Western Europe is only about 1,500 facilities, and I would say that the percentage of those that are purpose built that we would be truly interested in is probably 100 to 200 across Europe. So there may be some opportunities there. I think last year, we did buy 2 foreclosed assets, one in Holland and one in the U.K. But I would not see that as nearly as a robust pipeline as we have here in the U.S.
David Harris - Gleacher & Company, Inc.: Okay, so you'd still say your greater opportunities are in the U.S. compared to Europe?
Ronald Havner: With respect to that kind of, so to speak, bank or lender foreclosure, yes.
Operator: Your next question comes from the line of Michael Knott with Green Street Advisors.
Michael Knott - Green Street Advisors, Inc.: Ron, just a follow-up on the fund question from minute ago. Up until maybe the last couple of weeks, maybe your stock had traded as high as maybe a 50% in NAV premium, something like that. Don't you -- do you view that as kind of a mandate to go out and buy? It seems like that would suggest that by not going out and paying market for deals that maybe you're leaving money on the table. How do you think about that cost of capital advantage that you have versus your decision to, say, that some of these other deals were overpriced and not appropriate for you?
Ronald Havner: Well, Michael, I guess I would answer that a couple of ways. One, I think one of the reasons we do have the premium in our stock price is because we consider ourselves reasonably disciplined. I don't want to say that we don't make mistakes but we try to be pretty disciplined with respect to buying, and I think that is in part, reflected in the multiple. Two, in terms of buying stuff, I've said this often. It's easy to buy stuff. You just show up with the biggest check. So it's not -- I mean we could buy as much real estate as we wanted. We just show up with the biggest check. And over time, I think our premium to NAV would dissipate. Given the market, given the deterioration of CMBS market, given where the banks are moving with respect to asset disposition and the upcoming debt maturities, I'm quite confident we will have plenty of opportunities to deploy capital here in the next year or 2. So from my perspective, I'm not worried about that at all. But we will remain disciplined, and I think that is, in part, why our stock, is at what you said, that 50% NAV premium.
Michael Knott - Green Street Advisors, Inc.: Okay. Just out of curiosity, how are your results so far this year compared to what you might have expected either 3 months ago or 6 months ago? Has it been stronger than you would have thought or kind of played out as you thought it would?
Ronald Havner: No, I think this year's played out better than we anticipated. And I think we're really poised. As John touched on with the rental rate increases going into effect here in July, I think we're poised for a pretty good second half of the year.
Michael Knott - Green Street Advisors, Inc.: Does it seem inevitable that next year might show a deceleration in NOI growth unless rental rates really pick up, pricing power picks up just because it's been so good this year?
Ronald Havner: It's a little hard to forecast.
Operator: Your next question comes from the line of Michael Mueller with J.P. Morgan.
Michael Mueller - JP Morgan Chase & Co: Just a real quick one on G&A, John. The higher run rate you're talking about for 2011, just want to make sure that, that's something that we should be thinking of as continuing out beyond 2011.
John Reyes: I can't answer that, Mike. I mean I don't know what will be put in place in terms of incentive plans and after 2011, this is a plan that has been in place really for 3 years, and this is the third and final year of this particular plan. And whether additional plans or new plans get put in place going forward, I can't predict that.
Operator: Thank you. There are no further questions. I'll now turn the floor back over to Mr. Teng for closing remarks.
Clemente Teng: So, appreciate everybody attending our conference this morning, and we'll be talking to you for our third quarter in November. Thank you and bye now.
Operator: Thank you for joining today's conference call. You may now disconnect.